David Adam Schwimmer: Good morning, and welcome to our first half 2025 results. I'm joined by Michel-Alain Proch, MAP, our CFO; and by Peregrine Riviere, Head of Investor Relations. We've had a very good start to the year, continuing our strong and consistent track record of growth. Revenues grew 8.7%, with all businesses contributing positively. Our focus on efficient and scalable growth is paying off, with 150 basis points of margin expansion, taking EBITDA margins to 49.5%. That operational leverage continued down the P&L with adjusted EPS growing a little over 20%. Cash conversion remained strong. We returned GBP 1 billion in buybacks and dividends to shareholders in the first half, while still investing in future growth and maintaining optionality around bolt-on M&A. And today, we've announced a further GBP 1 billion buyback in the second half and a 15% increase in our interim dividend, and we are raising our margin guidance. This performance is a direct consequence of our strategy and execution. The investments we're making are driving growth today and are also building the capabilities and platforms for future growth. We're accelerating our high level of product innovation, consistently rolling out new products. We are deepening our customer relationships, building strategic partnerships that have our data, insights and solutions at their core. And we continue to drive greater efficiency and operational leverage through the ongoing transformation of our business and application of new tools, including AI. I'll say more about the strong commercial and strategic progress we're making in a moment. But first, I'll hand over to MAP to discuss our financial performance in more detail.
Michel-Alain M. Proch: Thanks, David, and good morning, everyone. Let's begin with the group growth for the quarter and semester. Our organic constant currency income growth for H1 was 7.8%. This growth was consistent across Q1 and Q2. On a reported basis, our income growth is 6.8%, including the impact of FX and M&A. Overall, FX was a 1.9% headwind in H1. As you can see, growth across all prior 6 quarters has been consistently strong. Looking now by division, you can see growth across all 4 businesses in H1. Data & Analytics and FTSE Russell maintained a solid performance throughout the first half, and our Risk Intelligence and Market businesses grew at double-digit rates. The weakness in the dollar has been a headwind to reported growth in all divisions. Markets reported growth include the benefit of the acquisition of ICD by Tradeweb in August 2024. There is one last point to call out on our reporting. Effective from H1 2025, certain revenue items have been reallocated, a total of GBP 83 million in H1 2025 and GBP 79 million in H1 2024. This is to better reflect how these businesses are managed operationally and has no impact on group level revenues. Details of this are set out in the appendix of this presentation and in our earnings release. Now let's look at D&A in more detail. There was a good performance from workflows with organic growth of 3.3%. With sunset Eikon as planned at the end of H1, and it has been delivered on time and on budget. We continue to make significant investment in our Workspace platform, that David will later detail, with innovation driving around 250 enhancements in H1. Data & Feeds maintain its good momentum with organic growth of 6.6%. We continue to broaden our data sets. And in H1, we added company fundamentals data onto our data-as-a-service platform. Analytics has had a very strong first half, with 8.2% organic growth accelerating in Q2. There has been a clear upwards trajectory of this business over recent quarters. Sales of our new AI-enhanced analytics API has helped to drive the growth here. Turning to the next slide. In FTSE Russell, we have continued to see strong demand for our flagship equity indices and benchmarks, which have supported good growth in our subscription business even against a very strong comparable period. We also announced our partnership with StepStone to jointly develop private asset indices and data analytics product, and we launched 25 ETF across our equity franchise, which is a record. As I mentioned previously, this half, we have seen the impact of a mandate loss from the third quarter of 2024. Excluding this, asset- based growth would have been mid-single digits rather than the flat performance we reported in Q2. Price increase in this business occur upon renewal, which are spread over the year. Looking into H2, we see fewer renewal than usual. This is a function of contract timing, but it means that there will be a little less contribution from pricing to subscription growth. Risk Intelligence had another excellent half of double-digit growth, which continues to be driven by World-Check. Growth in digital identity and fraud has also been strong, where our new product launches have helped drive good volumes momentum. Looking now at our ASV metric on the next slide. ASV growth was 5.8% as we exited Q2 compared to 6.4% 3 months earlier. The Eikon to Workspace migration is one of the largest ever desktop migrations. And inevitably, this quarter was a period of adjustment as migrating customers clean up their subscription. We have also seen the expected competitive reaction to our improved product and commercial performance. Across our subscription businesses, our gross sales remained strong, but they have been partly offset by higher cancellation for these 2 reasons. Going into Q3, ASV growth will be slightly impacted by the strategic partnership that we signed with UBS and announced last week. This is a very valuable long-term arrangement, and it also draws the line once and for all under the Credit Suisse headwind, bringing the last effect to a close in Q3. We expect to see ASV move up around the turn of the year. But as we have said before, we would not rely too heavily on ASV as a measure of progress. Indeed, we expect usage-based revenue models to increase, activities already happening in our Analytics and Risk Intelligence businesses. And these revenues are not captured by ASV, so it may become less and less relevant as a metric in the future. Markets had a strong half with double-digit growth in Tradeweb, FX and OTC Derivatives. Growth was driven by elevated volumes across our Markets businesses. Within Equities, we have seen good volume-driven growth in secondary markets, while the global primary market environment remains relatively subdued. Fixed Income had another exceptional performance with 17.9% growth in H1. Tradeweb is continuing to successfully execute on their strategy, while benefiting from favorable market conditions across all their asset classes. The integration of ICD is doing well. Turning to FX. We delivered growth of 13%, continuing the positive trend. Market volatility pushed volume up 14%, and we saw particular strength in our matching spot and forward businesses. In OTC Derivatives, we drove broad-based growth across asset classes. SwapClear saw strong growth with interest rate swap notional volumes up 15%; and ForexClear notional volumes were up 33%. The development of our Post Trade Solutions business is picking up pace, and we have seen demand from both new and existing customers for this service. We onboarded over 30 new customers across the product suite, and we have seen double-digit growth in H1. The minus 9.8% growth in Securities & Reporting does not reflect the underlying performance, given the impact of the Euronext exit, which we previously confirmed would see a circa GBP 30 million drag in the first 3 quarters of 2025. Stripping out this impact, H1 growth is 10%, which includes strong growth in RepoClear. Moving now from revenue to the rest of the P&L on the next slide. I will go into OpEx and margin in a bit more detail on the following slide. I have spoken before about operating leverage. And the overall message here is that you can now really see us continuing to deliver it. The strong top line growth of 7.8% translate into higher levels of adjusted EBITDA growth at 11.2%, AOP growth of 13.4% and APS growth of 21.8%, all on an organic constant currency basis. This is operating leverage in action. Looking at the cost base in more detail on the next slide. This looks at both cost of sales and operating expenses. Cost of sales grew by 4.9%, a slower pace than the 7.8% income growth we reported. This is largely due to the revenue mix in our divisions and also in FTSE Russell, last year's mandate loss that I already mentioned, has reduced revenue share payments. Turning now to operating expenses. Staff costs, in conjunction with third-party services, reflects the total people resources we employ across our organization. The resource equation, which look at resource costs as a percentage of total income, excluding recoveries, has improved by 90 basis points. This has been driven by disciplined cost control and our workforce insourcing program, which is going well. Our total headcount is slightly decreasing, and we have increased the percentage of our internal workforce to 72%, reducing our external headcount by approximately 1,500 and adding over 600 permanent employees compared to H1 2024, mostly in engineering. And as we are doing this, we are raising the bar on talent. The reduction in our other cost line is mainly driven by ongoing optimization of our property portfolio and travel expenses. This is another example of us delivering operating leverage, with total operating expenses increasing by 4.2% compared to income growth of 7.8%. Let's now turn to the next slide, where we bridge the effects of cost drivers on our EBITDA margin rate. Starting from the left, the 48.5% is the reported margin for H1 2024. Then there are last year's adjusting FX factors, namely embedded derivative and a translational impact. All in, it gets you to a comparable baseline of 48.1% for H1 2024. Next, you can see the contribution to margin from each cost line on a constant currency basis. The net benefit to margin from people resource cost leverage is a 100 basis point improvement and from IT costs, another 10 basis point benefit. The 40 basis points from Other included a 20 basis point improvement in cost of sales due to the reduced revenue share payments in FTSE Russell and 20 basis point benefit from the optimization of our property and travel expense, as I just mentioned. Taking this controllable movement together shows our very strong underlying margin improvement of 150 basis points for H1. So that brings us to an underlying margin for H1 of 49.6%. There is a net impact of 10 basis points from embedded derivative and translational FX, and that gets you to our reported 49.5%. So in H1, we have delivered a very strong margin progression, which make us confident of reaching our improved guidance for the year of 75 to 100 basis point improvement. One more point that I would like to make is that we are not only raising the floor of our guidance, but we will be executing it while absorbing in H2 the 60 basis point negative impact of the GBP 27 million Euroclear dividend that we received last year, but that obviously we won't be receiving this year any more as we sold our stake in Euroclear, an important point while looking at the H2 margin improvement. Turning now to net finance expense. You can see that adjusted net finance expense was GBP 66 million in H1 2025 compared to GBP 112 million in H1 2024. This represents a GBP 46 million year-on-year reduction. This decrease includes 3 elements: first, a GBP 23 million credit from the bond tender offer we completed in March; second, a gain of GBP 12 million coming from the discontinuance of a U.S. dollar net investment hedge; and finally, the balance come from a better management of the group debt structure, AKA GBP 11 million improvement versus last year. There will be a small headwind in H2 from additional interest costs from the share buyback this year. Taking this into account for the full year 2025, I expect the total adjusted net finance expense to be slightly above GBP 200 million. On tax on the next slide, the effective tax rate decreased from 24.8% to 24.0%. This 80 basis point improvement puts us in a good position to meet our guidance of 24% to 25% for the full year. AEPS was GBP 208.9p in H1 2025. It represents a 20.1% year-on-year increase. On AEPS, it's helpful to take a multiyear view, given the year-to-year noise from FX. This slide shows our strong continuing earnings accretion with 11% compound growth since the first half of 2021. And in the last year, we have seen a significant acceleration at 20%, well ahead of revenue growth, which clearly demonstrates the strong improvement in underlying profitability. And we have achieved this double-digit earnings growth while continuing to invest in our business. Now looking at non-underlying items. The main point to note here is that we have massively reduced our integration cost by more than 50% compared to last year, as we previously committed. The Refinitiv integration is completed and the only cost posted in non- underlying going forward related to our engineering contractor reinternalization program that I already mentioned and the deployment of a single ERP throughout LSEG. These 2 programs will be completed by 2027. Let's turn now to cash flow. We have continued to increase our operating cash flow, generating GBP 281 million more compared to the first half of 2024, and we were able to materialize all of this increase in operating cash flow into equity free cash flow. CapEx was GBP 424 million in H1 2025. This represents 9.5% of total income and a GBP 30 million year-on-year reduction due to lower costs related to the Refinitiv transaction and an improved investment control process. We are fully in line with our guidance to reduce our capital intensity to approximately 10% in 2025. We have a good line of sight to it declining further as per our medium-term guidance. As a result of this discipline, equity free cash flow showed really strong growth of GBP 284 million, which is a 43.6% year-on-year improvement. As you can see, LSEG is highly cash-generative and with higher margins and lower capital intensity, it will become even more so. We continue to be very active in our allocation of cash, as you can see from this slide. First, the dividend. The interim dividend is increasing 15% to 0.47p, in line with our dividend policy, and it's representing approximately GBP 250 million. Second, buybacks. We returned GBP 500 million via buybacks in H1, and we plan to execute up to a further GBP 1 billion share buyback in the second half of the year. We ended the period with a leverage of 1.6x net debt to EBITDA, which is almost at the bottom of our guided range. This gives us significant financial flexibility to return surplus capital to our shareholders as well as invest in M&A opportunities across our business that makes sense, both strategically and financially, as we have always done. The next slide summarizes our H1 performance versus our 2025 guidance. Starting with revenue. H1 organic growth of 7.8% exceeds the upper end of our 6.5% to 7.5% guidance for 2025. On the basis of this performance, we are very confident that we can deliver on our revenue guidance for the full year. If our transactional businesses continue to perform well, our position related to the range can obviously improve further. Next to margin. I've spoken already about the H1 performance, which exceed our guidance for 2025. We are now raising our EBITDA margin guidance for 2025 to a 75 to 100 basis point improvement, all this while absorbing a 30 basis point impact on the year following the end of the Euroclear dividend that I mentioned. This demonstrates the progress we have made and our conviction in our capacity of execution. Thirdly, we are bringing down our capital intensity as planned and we are on track to meet our full year guidance of around 10% of income in 2025. And finally, we are deploying our strong equity free cash flow for growth and shareholder returns. And as I have mentioned, this includes a new GBP 1 billion buyback. So in conclusion, we are very confident that we will deliver on all our promises for 2025 and in the medium term, we have a clear plan, and we are very focused on executing it. Now let me hand back to David to talk about our strategic and operational progress.
David Adam Schwimmer: Thank you, MAP. This chart puts our recent performance in context. Despite big swings in capital markets and the global economy, we have delivered strong and consistent growth. We're not immune to economic conditions, but the natural offsets in our activities give our business model an all-weather nature. You can also see how disciplined delivery of our strategy over the last few years has accelerated growth from mid-single digits to high single-digit growth. Almost 3/4 of our revenues are recurring in nature, subscriptions in Data & Analytics, FTSE Russell and Risk Intelligence and member fees and data sales in our Markets businesses. These businesses have very high retention rates reflecting the quality of our offering and the importance of the services to our customers. Around 1/4 of our revenues are transactional in nature, arising largely from the execution and clearing solutions we provide to customers when they are investing capital and managing risk. The double-digit growth in these revenues over the last 5 years speaks to the structural nature of this growth and the innovation we have driven across markets, whether it is supporting electronification in fixed income trading, introducing new FX trading protocols like Forward First Fixing or working with the industry to provide greater capital efficiency in Post Trade. We are driving structural growth across our transactional businesses. It speaks to the quality of our sales execution that our pipeline of new business continues to grow, and we have not seen any material change in key metrics such as average deal size or length of sales cycle. MAP highlighted the short-term impact of competitor activity just now. But looking out, our continued investment in high pace of product innovation position us well to strongly compete and continue taking share. An example, in Workflows, we displaced almost 100 users at a major commodities trading firm. That was driven by our superior market data, news and commodity-specific research. In Data & Feeds, we won a highly competitive process to provide a global hedge fund with data and insights powering new AI-driven trading models. Central to this success was our leadership in news, both the breadth of our offering and the investment we've made in making it machine-readable and AI ready. We also agreed a new multiyear data access agreement with UBS. That's a really strong partnership based on the adoption of our solutions across the full range of UBS' activities globally. We expect to see good multiyear growth from the relationship. This slide highlights 4 of the structural growth drivers for our business and how they have evolved over the last few years. It's a good way to think about the opportunities we have in front of us. We've seen generative AI move into mass adoption and the rise of Agentic applications. While cloud distribution is not new, customers increasingly want to manage their data on cloud-based platforms, too. Regulation has become more uncertain, and in some of our customer segments, the pace of new regulation has slowed, creating opportunities for clients to think more strategically about their businesses. The volatile geopolitical backdrop and the increasing sophistication of financial fraud have brought risk management to the fore. And we've seen the emergence of new digital asset classes, attracting new participants and building new pools of liquidity that, as they mature, require more robust regulated infrastructure. As we execute and take advantage of these tailwinds, we are very intentionally creating a portfolio of growth opportunities that will realize near, medium and long term. As you've seen from today's results, the transformation of our business is driving growth today. Through the investment we are making in our content and capabilities, we are also securing new growth over the medium term. I'll talk through a few examples of that shortly. And we are also building infrastructure and partnerships to establish the platforms for future growth that will position us to win in the medium to longer term. Workflows is a good example of these overlapping growth drivers in action. I'll start with what is driving growth today. In June, we finished one of the largest financial services workflow migrations in history, moving more than 350,000 users onto Workspace and establishing a common platform for innovation and growth. Delivering that took a great deal of focus and effort from our workflows, sales and customer support teams, particularly in Q2. Completion of the migration frees up capacity we can now reallocate to growth. Workspace itself continues to evolve at pace with hundreds of updates in the first half. We've increased our private markets data by 2/3 and are on track to almost double coverage by the end of the year. We furthered Workspace's leadership in news, expanded bilateral trading capabilities into metals and bonds and added new AI- driven commodities content. Our clients recognize the continuous improvement with the average user spending 15% more time on Workspace in Q2. Customers tell us they want more seamless workflows with interoperable data sets and less switching between applications. This is exactly what we are building in partnership with Microsoft. The first iteration of our Workspace for Teams application is now live with target customers, and we will be adding new functionalities and expanding the customer rollout over time. Integrating Workspace data into Teams enhances the discoverability of our data and insights by making them accessible in customers' existing Office 365 workflow. Using simple prompts in Teams chat, users can call up 20 different data sets with insights on bonds, equities, news, M&A league tables and so on and share this information with ease. In the same way, we're constantly enhancing our Workspace platform. We will continue to expand the capabilities of the Teams application, adding interoperability with Microsoft Copilot, functionality from Meeting Prep and other enhancements later this year. We also launched the first iteration of our Workspace add-ins for Excel and PowerPoint. Focusing on the data and workflow needs of bankers, this uses novel Office 365 functionality to offer natural language formula building and automatic chart annotation. We'll be expanding these capabilities to cover more of the investment management workflow in H2. These are powerful initiatives, but they do not exist in isolation. There's a natural sequence to our product delivery with each step unlocking the next evolution of our Workflows offering. Without migrating users to the more modern and agile Workspace platform, there would be no Teams app. And without the Teams app, there would be no gateway to our Open Directory messaging function in Teams. Following the really good progress made in H1, we're rolling out Open Directory to communities of users, giving them the ability to find, share and discuss insights through Microsoft Teams chat function. And we are not stopping there. The rest of this year and 2026, we'll see further enhancements to our Teams app, wider rollout of Open Directory as well as the first Agentic AI tools for Workspace and a natural language search experience. You've heard me speak many times before about our best-in-class Data & Analytics and the investment we are making to expand and deepen this further. Here's what the cumulative effect of that looks like in our fixed income data. We've added more than 5 million new instruments, taking our full data set to over 21 million instruments. It's qualitatively better, too, with quicker security creation and more precise data on instrument pricing. We've launched new regulatory solutions, such as FRTB; and enhance key data sets such as debt corporate actions. The integration between trading menus like Tradeweb and FTSE Russell's fixed income indices is much deeper. And we have significantly expanded the access to our fixed income data via Workspace or cloud environments like Snowflake. I've used fixed income in this example, but I could just have easily used equities, commodities or FX. This investment in our data is driving growth today and is increasingly recognized by our customers as a differentiator. We're also making it easier for customers to find, access and consume our data by continuing to partner with more cloud platforms. For example, following the success of putting our flagship pricing and reference data, Datascope warehouse, into AWS last year, we expanded distribution to include Google Big Query in the first half. Traditionally, customers would download our data via feed or file transfer, then use it on their own systems and platforms. In recent years, they've been accessing data via the cloud before using it on their own system. Increasingly, we hear from customers that they want to use and manage data directly in the cloud and they are looking to LSEG to provide the connectivity and tools to support that. One of the ways we're meeting this need is through the data-as-a-service capabilities we're building with Microsoft. We added our company fundamental data sets to this platform in the first half. This is a massive and critical data set, including financial statements, KPIs and other operating metrics for more than 100,000 companies. As well as further enhancements to our ESG and company fundamental data, we will start adding private company data from the second half. We will also begin rolling out data matching tools as part of our managed data services, establishing a strong platform for future growth. Our Analytics business is a clear example of our transformation and the value of the Microsoft partnership. 18 months ago, we had market-leading models and analytics, but these were hard to use and delivered through a range of different platforms. Growth was okay, but the rich IP was undermonetized. In March '24, we consolidated hundreds of analytics into a single API, making it easy for customers to access and integrate with their workflows as well as discover analytics, they probably didn't know we offered. Growth in 2024 was around 5%, with new sales strengthening towards the end of the year. Then in March this year, we made it easier for customers to adopt LSEG's analytics where they are working, for example, within Visual Studio Code. We'll be adding a number of new channels over the coming months. In H2, we will be introducing LSEG's proprietary analytics AI assistant. This will allow clients to drive their analysis with a simple written prompt and within seconds, have this translated into action. This takes routine analytics tasks down from hours to seconds. And this all links to the release of modeling-as-a-service, where we are enabling our customers to distribute their own models through our API, reaching new end customers and enhancing the power of our platform. So far in 2025, growth has accelerated to over 8%, and we are confident of continued good momentum. Through our focus on innovation, openness and partnership, we have driven sustained growth in our centrally cleared OTC solutions, as shown in the 5-year growth rates on this slide. We see a similar opportunity for the solutions in the uncleared space, and we're making good progress in delivering on this vision. The first half saw a record growth in the use of our risk optimization tools, saving customers 1.7x more capital than in the same period last year or around $7 billion per bank on an annualized basis. Volumes across our end-to-end service for uncleared swaps rose 73%, and we continue to expand our network, adding 3,500 new bilateral counterparty relationships in H1. The first half also saw good progress in building the platforms for future growth with the launch of U.S. Treasury futures clearing in partnership with FMX and the first trades cleared using our regulated clearing infrastructure for digital assets. Global fragmentation and geopolitical complexity continue to provide a tailwind to our Risk Intelligence business, which continues to deliver double-digit growth. In the first half, we began pilots of a new, more flexible World-Check platform for our sanctions and anti- money laundering data. We'll extend that to a larger number of customers in the second half, but our strategic vision goes far beyond screening. Unlike competitors that tend to provide individual solutions, we operate along the compliance life cycle combining digital identity and fraud solutions with screening and due diligence capabilities. There's more that we can do to stitch these capabilities together into integrated solutions. There are also new market segments we can open up over time, providing a platform for future growth. The growth of new asset classes in recent years has brought with it new market participants and new trading technologies. By leveraging our expertise in financial market data and infrastructure, we are supporting growth in these liquidity pools. FTSE Russell offers a number of digital asset and crypto indices in partnership with Digital Asset Research and GrayScale and continues to expand its offering. In H1, FTSE Russell also announced a partnership with StepStone to introduce investable private markets indices, with the first products expected in the second half. Later this year, we expect to formally launch our regulated private securities market business, offering private companies a new way to access liquidity that builds on the public market infrastructure of the London Stock Exchange. Continuing the innovation, we expect to start onboarding the first customers to our digital market infrastructure, which, in the first instance, will focus on capital raising by private market funds. Of course, there continues to be a lot of focus on AI. I just want to spend a moment on how we see our place in the market and why I like our positioning as the technology continues to evolve. First, you have to think about what financial markets participants want from their workflow. Natural language search and the ability to automate a lot of time-consuming activities with agents is very attractive. We're all headed in that direction. But they want that and all the things they get today from an advanced desktop, curated news and alerts, portfolio tracking, live charts, trading capabilities. So the future is AI integrated into a desktop, not AI replacing a desktop. And that desktop should combine financial markets content, insight and workflow with enterprise workflow. A couple of other really important aspects to this. Customers also need absolute certainty around data, trust, accuracy and compliance, including the outputs from AI models. And of course, they want simplicity and value for money. LSEG lines up against these needs very well. In Workspace, we have built a modern, modular and customizable interface that has rich functionality and allows customers to manage entire financial markets workloads, not just research. With Microsoft, we are consolidating enterprise and financial workflows, enhancing productivity by empowering customers to do everything in one place. On data, our position is very strong. Our starting point is leadership in real time, unrivaled depth and breadth of data and significant trust in that data, given the rigor of our processes. And then our approach to applying AI to this data is differentiated as well. The truth is that even for relatively simple prompts, accuracy levels across the industry for AI model outputs in financial services remain below 50%. I'm confident this will improve rapidly, but that's the situation today. As a result, we're taking a rigorous approach to testing and evaluation to improve and refine AI outputs. And our overall commercial strategy is an important tool. Through access agreements, we offer lower cost of data ownership from major customers. On top of that, we are more liberal in our contracts and allowing customers to train their own models on our data. Others do not take this approach. As you can see, our position is clearly differentiated from others in the market, and we like and have a lot of confidence in our position. We're also confident that as the world continues to change rapidly and in particular, as Agentic AI functionality improves, we will remain at the forefront of that change with our data at the core. So the previous slide focused on AI and the desktop. But let's zoom out a bit and look at how we are incorporating AI into our products, our processes and how our people work. We have over 20 live use cases in our business today with a further 100 in development. On products, you've already heard how we're putting AI to work from advanced dealing and the analytics API to the new Workspace Teams app and soon in Workspace AI and in various Agentic AI tools. For our processes, the addition of AI tools is also making us more efficient and agile. I'll give you a few statistics. But please keep in mind that while we are moving quickly down the path of widespread AI adoption, it is still relatively early days. More than 80% of customer queries are now resolved using AI customer support tools, that's already helped us significantly improve resolution times and there's further to go. We're also deploying AI tools to ingest data more quickly and accurately. The sourcing failure rate on our automated data retrieval has decreased by 95%, significantly reducing the need for human intervention. And then on our people. We believe it's important that we in-source more of our engineering talent and train all staff to operate in a modern AI tooling environment. Not only does that ensure we keep winning in the war for talent, but it will maintain our agility and reduce our time to market. And there is a direct line from this transformation to what you are seeing in our margin improvement. We are becoming a modern, more efficient, more skilled and scalable business. As you saw in H1, we have built a business which is strategically aligned to a number of powerful growth drivers. We are investing and innovating to deliver on those opportunities, powering near, medium and longer-term growth. You've heard from MAP how we're doing that in a more efficient way, ensuring our top line growth is reflected in earnings. And we continue to generate a lot of cash, supporting returns to shareholders and investment in growth, while giving us optionality to continue to consider bolt-on M&A that meets our strategic and financial hurdles. One last point. We announced this morning that we'll be giving our shareholders a more in-depth look at the new products across our business at our Innovation Forum for Investors on November 10. I feel more confident about the strength of our offering, particularly our innovation and new product delivery than at any time over the last 7 years. And I look forward to sharing some of that with you at November's event. And with that, I'll hand to Peregrine for Q&A.
Peregrine Riviere: Thank you, David. [Operator Instructions] Operator, over to you.
Operator: [Operator Instructions] And your first question comes from the line of Russell Quelch from Rothschild.
Russell Quelch: A couple of questions. Firstly, in regard to AI. David, can you elaborate a bit more on your thinking about the data side of the business, how you expect to increase the distribution and the timing of monetization on the data with respect to AI? Will you be willing to work with other LLMs, including OpenAI? And will you be working with other external AI workflow solutions allowing them to use your data, both inside and outside of your own desktop application? That's my first question. The second question. We've recently seen a number of your peers, including Deutsche Börse, S&P, Wolters Kluwer, TP ICAP, they've all taken strategic decisions to spin-off part of their businesses to release value. I was wondering if that's something you would consider exploring strategic options to release value within your group?
David Adam Schwimmer: Thanks, Russell. So to your first question on data distribution. We do that. So a couple of things. We work with a number of different models. We're not tied to any one particular model. We work with open source models. We work with the pay models. And then the second aspect of that is that we also already provide our data to many users for their consumption in their models. And in fact, we have, I think, a more liberal approach. We're very comfortable with it from a legal perspective and from an economic perspective, but we provide our data in a more liberal way to our customers for their usage in their models. A part and parcel of this is making sure that our data is packaged and AI-ready. And we have that in very good shape in a number of our data sets, and we are improving it in some of our other data sets so that, that is a core part of the value proposition within our Data & Feeds capability. On your second question. Look, we're always looking at our portfolio, and we're always looking to make sure that we are adding the most value and getting the most returns across the portfolio. If you look back over the last few years, we have done some divestitures. We've done some very small ones that I would put in the category of cleanup. A few years ago, we divested the BETA+ business for about $1 billion. And so you should assume that we will always continue to evaluate our portfolio in the right way. But I feel very good about, I'll call it, the strategic coherence of our business and how the different parts of the business fit into driving our strategy of serving our customers across asset classes across the trade life cycle and on a global basis.
Operator: Your next question comes from the line of Kyle Voigt of KBW.
Kyle Kenneth Voigt: Maybe just a question on the competitive environment in the second quarter and the higher cancelations. Just wondering if you can clarify if that was simply discounting by one of your competitors on the Workspace business specifically? And then maybe you could speak about the trend that you saw throughout the quarter on the aggressiveness of that competitor or competitors? Has it gotten more intense or less intent? And have you responded competitively there on your own pricing in order to retain business?
David Adam Schwimmer: Thanks, Kyle. So the first point I should just make on this is that we can have literally a cancellation or 2 in each of D&A, FTSE and Risk Intelligence and that can have this kind of impact on ASP. We've always shared with you all to be careful on reading too much in ASP because of this kind of sensitivity. So you should not look at these numbers as a big shift or a big wave. It can really be those kinds of numbers that I'm talking about here in terms of 1 or 2 in each of these areas. The second point I'd make is that we have seen this before. And just an example a couple of years ago, one of our competitors was basically giving their real-time product away for free for 2 years-or-so. And we did see a couple of cancels associated with that, and that had a short-term impact on the Data & Feeds growth rate. And then those customers came back. And you see the Data & Feeds growth has been very strong over the last few years. So the next point I would just make on this, it is not surprising to us to see a response from our competitors in this way. And if you go back over the last few, several quarters and we have been taking share from them. And this goes back over the last couple of years. And you've seen -- I don't want to get into any specific competitors, but you have seen for some of them their growth rates come down pretty significantly, and their ASPs come down pretty significantly. And a lot of that is because of what we are doing to them competitively. To your specific question, we do not see their pricing in these areas as sustainable. And as I said, we've seen it before, it wasn't sustainable before. We see the same kind of behavior now, and we don't think it's sustainable now. So from our perspective, we are not matching irrationally discounted pricing. We will continue to invest in our products, we are continuing to do that. And this is really important, we are continuing to see a build in our sales pipeline. So we look -- I'll close on this topic, I say we look forward to continuing to invest in our product, making better and better product. We've seen our customers willing to pay for greater product, greater return on what they're seeing in our product. And we look forward to continuing to take share from our competitors.
Operator: Your next question is from the line of Michael Werner of UBS.
Michael Joseph Werner: Just one question for me. As we look out to 2026, I believe there was an intention to accelerate pricing in the desktop space. And I know we're getting to that point where you start these conversations in the next couple of months with clients about pricing for '26. I was just wondering, is that still the intention? How are you feeling about it? How does the environment looking for you guys to be successful here?
David Adam Schwimmer: Yes. Thanks, Michael. So we are having that conversation as really over the course of these next few weeks. That's a summertime conversation for us. We do it every year. We look at the value that we are adding in our product. We look at the new investment we've made, the changes that we have rolled out. We always evaluate and over the last few years, we've always evaluated the inflation environment. We evaluate the competitive environment. But I think we feel very good about the positioning of the product. We feel good about the changes that are being introduced and the new functionality. So we'll be making that decision over the next several weeks, and then we'll be communicating with our customers in the fall.
Operator: Your next question is from the line of Arnaud Giblat from BNP Paribas Exane.
Arnaud Maurice Andre Giblat: Can I ask about the ASP growth, which has been slowing? Should we expect this lead to constant currency growth in data remaining a bit more static at around 5% for the next 12 months? In a sense, what I'm asking for is how much of the revenue base is represented in the ASV growth and what are the other moving parts consider? I think you talked about usage-based contract increasing as a share and you talked also about 15% increase in usage. So could that offset? And could that lead to an acceleration in 2026? My second question is on data-as-a-service. Could you maybe spell out some of the key milestones we should be looking out for this to be really a material part of your P&L?
David Adam Schwimmer: Thanks, Arnaud. MAP will take the first question, then I'm happy to talk about data-as-a-service.
Michel-Alain M. Proch: Yes. Sure. Arnaud, so on ASV on that quarter, before going into the detail, just 2 points. I think David mentioned the volatility of ASV from one quarter to another. I'm not going to go back on this. But the second point I want to make because you mentioned it, and I think it's a very good point, is that, yes, it's true, ASV is not capturing the use-based revenue and we actually see an increase of our usage-based revenue, both in Analytics and Risk Intelligence. So both of these revenue lines are not captured by ASV by itself, just mentioning it. So maybe in the long run, it's a metric as usage- based revenue is increasing, which is going to become less and less relevant. I'm not saying tomorrow, but I'm saying more in the long run. On the decrease of the ASV Q2 on Q1, I think David already mentioned the expected competitive response. I just want to remind you what I've said in Q1, which is we see a continued normalization in FTSE Russell and in Risk Intelligence trajectory following a period of very elevated growth. And finally, which is kind of a one-off, but it's really important to mention the sunset of Eikon has led to some cancellation. We mentioned it. The kind of a cleanup, if you want, at some clients, but there were 2 effects, this one that I've mentioned in the remarks, and another one, which is our sales team have been extremely focused at making this shift from Eikon to Workspace a success, and it was, as I said, delivered on time and on budget. But obviously, while we are doing this and particularly our customer excellence team, they were not selling other things, you see. So I see this as really as a one-off for this quarter. I think we have indicated -- if I carry on your reasoning, we have indicated that in Q3, you will see the low point of ASV with the impact of the UBS [ LSEG ] deal that we've signed, it's about 30 to 40 bps. And I want to mention to that it was anyhow, what we were expecting coming from the Credit Suisse termination. So it's -- now it's going to be behind us, and we're not going to repeat this every quarter. And looking at what you're mentioning, the 5% in 2026, when we look at the pipe that David and I are reviewing every month, the sales pipe is increasing, both in terms of value and in terms of duration. We have a great road map of products. So you put this all together, and the pricing that we're going to work on in the weeks to come, it makes us confident in the capability of D&A to accelerate growth in 2026.
David Adam Schwimmer: And Arnaud, on your second question on data-as-a-service. So putting the fundamentals data set into that capability this year is significant in terms of moving down that path. We also have talked about how we're adding more data in terms of our private data set, and then we have more data sets coming next year. And I would expect, and we've talked about this a little bit in the past that we get to critical mass in terms of the data sets that are available in that mode near the back half of next year. What does that mean in practice, is just it becomes much easier for our customers to access our data and use it in the way that they want in, I'll say, sort of an integrated capability and an integrated architecture. And maybe just by way of analogy, we -- in our presentation that we just went through, we talked about the impact that we have seen in Analytics, which is a much smaller business. But what we've seen in Analytics over the last year, 1.5 years in terms of improving that architecture, creating an integrated distribution capability and allowing our customers to use that and discover our Analytics in a very different way, I think that's an interesting analogy. I think that it's a different business. And Data & Feeds and data-as-a-service is a larger business. So I wouldn't say expect the almost doubling that you've seen in the growth rate from Analytics in terms of that 4% to 8%, but it gives you a sense of the kind of benefits that we are looking to drive from serving the customers better in this kind of integrated architecture.
Operator: Your next question comes from the line of Hubert Lam, Bank of America.
Hubert Lam: I've got 2 of them. Firstly, on your organic growth guidance for this year of 6.5% to 7.5%, you've left that unchanged even after delivering 7.8% in H1. So why aren't you narrowing the range at this stage? And what are the risks you see into the second half? First question. The second question is a follow-up on pricing. With the new enhancements you're making across Workspace, including Open Directory and other functionality, isn't that a good reason to increase your raised pricing to above the average that you had over the last couple of years? Or is this competition just making it much harder to do this and maybe more price increases in '27 rather than '26?
David Adam Schwimmer: Thanks, Hubert. MAP will take your first question, I'm happy to take your second.
Michel-Alain M. Proch: Yes, sure. So on the way we look at the guidance, we've looked at the mix of our business between our subscription business and markets. On the subscription business, taken together, we believe that in H2, we are going to have roughly the same organic growth than we have -- as we had in H1. So -- and we have a very strong line of sight on this because these are recurring revenue. And on the market, obviously, there is a certain volatility. Now we have studied 3 possible scenarios. The first one is that market carry on at elevated growth than -- as the one we had in H1, around 10%. If this is the case, we're reaching the upper part of the guidance. So that justify and explain the 7.5%. Then there is our central case, which is that we see a normalized growth for markets. So it will normalize for Tradeweb within markets at low double-digit growth and the rest of market. And altogether, let's say, a market division at around 7%, and that takes you to the midpoint of our guidance. And again, it's our central case. And obviously, we are in a situation of very uncertain macroeconomic environment. There is the possibility of a strong slowdown, that would be like 3% or 4% of growth for market. Again, it's not something that we see, but that's the environment we are at. And that makes us the 6.5%, which is the low part of our guidance. So with this current environment, it's difficult to be more precise today, but we will be better informed in Q3, and we'll update the guidance at that time.
David Adam Schwimmer: And Hubert, on your second question around pricing. Similar to what I touched on earlier. This is something that we're actively looking at now and over the next few weeks. And there's a lot that we are rolling out. There's a lot of new capability, new functionality, new product. There will be more next year. So I can make the argument both ways in terms of what -- how you asked your question. Now that we've got plenty of good reasons to do things on pricing this year, we're going to have plenty of good reasons to do pricing -- to do some good things on pricing next year. We'll keep an eye on the competitive environment, and we'll make the decisions. We just haven't made those calls yet. But I think the broader perspective or answer I can give on this is I really like our positioning in terms of how we are delivering on new innovation, product, new capabilities. As you all know, and as we've been talking with you about, over the last few years, we have been investing a lot in our business, and we're really seeing the benefits of that. And there's a lot of focus on what we're doing in Data & Analytics, but there's also lots of new capability coming out in FTSE Russell. We've had a record number of new products in FTSE Russell. We've got new capabilities in Risk Intelligence. We've got new capabilities in FX. We've got new capabilities in LCH and post-trade solutions. So as I look across the business, we'll make the decision that we make about pricing for this year and going into next year. But -- and we'll have that same conversation next summer going into 2027. If you just take a step back for a moment and think about the trajectory of this business and the strength of the relationships that we have with our customers, we're in a very good position. We provide critical services to these customers. And we are -- I would say, in the industry, we're the one providing the strong pipeline of new product and new capabilities.
Hubert Lam: I recognize the innovation behind it, but hopefully it can be translated on -- in terms of monetization or maybe that's just short-term focus.
David Adam Schwimmer: No, I think -- look, we -- I agree with you. It's certainly the goal. But by the same token, we also -- and the way I've answered an aspect of this question over the years, people ask us about the discount of, for example, our desktop product Workspace relative to one of the big competitors and that being at sort of a 30%-or-so discount, and we've always been clear we're never going to take the price up 29% in the new year. Now obviously, I say that as an exaggeration, but the reason I mentioned that is that part of how we are rolling out our price increases over the years is in a way that works for our customers. They understand the amount of innovation, the amount of capital that we're putting into our new product. They appreciate it, and they respect the fact that we need to get an appropriate return on that investment. So that's part of the discussion as well, just in terms of making sure we're maintaining the good, healthy long-term relationships that we have with really the industry.
Operator: Your next question is from the line of Benjamin Goy of Deutsche Bank.
Benjamin Goy: First on the share buyback of GBP 1 billion, which is, I guess, the largest one for half year for you. Maybe you can put it in context of thinking how much is driven by being close to your leverage or the low end of your leverage range, how much is the [indiscernible] cash generation or the current share price performance and also compared to M&A opportunities currently in the market? And then a follow-up on the usage-based price. Is there any plan to quantify that? How much of your revenues are already usage-based and how this compares to the level 1 or 2 years ago?
Michel-Alain M. Proch: So I take the first question on the buyback and the capital allocation. So we have always taken a very active and disciplined approach to capital allocation. The group is very highly cash generative. You've seen the performance in cash the plus 40% compared to the first semester we had. So you look at this performance in cash. It's driving our leverage ratio to 1.6 at the end of June, which is almost the low part -- the bottom part of our range, 1.5 to 2.5. And that's the reason why we've decided for a buyback of GBP 1 billion. And this buyback is funded by our cash flow because if I give you a bit the capital allocation for this year, so we said at least GBP 2.4 billion, okay, of free cash. And obviously, with the performance we had in the first semester, it makes us more comfortable on the at least. So you look at the first semester, it was GBP 500 million in dividends, GBP 500 million of buyback. In H2, it will be GBP 250 million of dividend because the interim dividend and GBP 1 billion of buyback. So by doing all this, we are distributing GBP 2.25 billion of the GBP 2.4 billion. And so it means that we would still be with the leverage, give or take, 1.6, which gives us the opportunity, the space to have M&A bolt-on that David mentioned several times. But obviously, always with our discipline, both strategically and financially. David?
David Adam Schwimmer: And on the usage-based pricing question. So as MAP mentioned, we have it today in Analytics. We have it today in Risk Intelligence. And just to be clear on this, when we have more and more usage-based pricing, that doesn't mean that we're getting away from the subscription model. We like having the subscription -- the contractual relationships with our customers and the usage-based pricing is embedded within those subscriptions. So within the context of Analytics and Risk Intelligence, those are 2 attractively growing businesses. They're relatively on the smaller side of our business today compared to workloads compared to data and feed. So on the smaller end, but an attractive element of the incremental growth is the way I would think about it.
Operator: Your next question comes from the line of Enrico Bolzoni from JPMorgan.
Enrico Bolzoni: So one, I just wanted to go back on a comment you made. You said, I think, that all things consider you are confident that you will be able to accelerate growth for Data & Analytics next year. Perhaps, would you be able to extend that comment to the group level or at least, let's say, to the group, excluding markets, which is a bit more volume dependent? So that's my first question. And my second question is a very generic one, but I was hoping you can provide some color. You clearly said that some of the competitors have been very aggressive on pricing and artificial intelligence is an important part of the story for the sector. What is the reach of being a race to the bottom for data consumption? And perhaps, if you can spin it specifically to your case, what gives you confidence that your data are unique and what you offer is so unique that we will not see a continuous pricing pressure going forward over the next 2 to 3 years?
David Adam Schwimmer: Thanks, Enrico. MAP will take your first question on how we're thinking about next year, and then I'm happy to talk about the data question.
Michel-Alain M. Proch: Yes. So obviously, we are only in July. So we are not set yet for the budget of 2026. So I'm not going to give you a guidance for 2026. But I can -- I think it's a fair question, and I can give you some color. So we said, acceleration of D&A, it's not going to be a step change, but it's going to be progressive. And when you look at -- you zoom out a bit and you look at the subscription business, D&A, FTSE Russell and Risk Intelligence, we are confident into this progressive acceleration in 2026, yes.
David Adam Schwimmer: And then on the question around the risk of the race to the bottom for the data. So we don't see it that way really at all. I think if you -- and there are a couple of different ways we could talk about this for the rest of the hour or 2. So -- but just a thought on this. First of all, with respect to the AI ecosystem, there are 3 legs to that stool. There is the computing power, and that includes the data centers and the chips, and we're seeing enormous capital and investment go into that, and you're seeing some potential commoditization over time there. Then you're seeing the models themselves, and you're seeing enormous investment go into that and lots of competition and some open source models and some cheap models coming out of -- or cheaper or smaller models coming out of China and other jurisdictions. So competition and potential commoditization there. And then you have the data as the third leg of the stool. And it is hard to commoditize the data. The data quality is incredibly important in terms of informing, training, feeding the development of the AI functionality in these models. You can have synthetic data, but synthetic data is of the same quality. If synthetic data is built off of, I'll say, commoditized cheap low-value data than it is relatively cheap and low value. If synthetic data is built off of high-value data, it has higher value itself. So it's challenging to get to a race to the bottom or a commoditization of high-quality data. And that is what we have. And we've actually -- we've been getting this question really since ChatGPT first entered the public consciousness in December '22 -- no, I guess, November '22. Questions about or concerns about whether people would just go to a sophisticated chatbot and get all the information that they need, that's clearly not the case. Those kinds of tools and models can be -- they can be pretty cool, they can be fun, you can get a lot of information from them. But especially when you don't know exactly where they are sourcing that information and especially when you get into financial analysis and market analysis, it's well documented that they're not even close to capable of providing the kind of certainty and quality and accuracy that our industry demands. So I think that if anything, that is the -- that's sort of the fortress of quality, credibility, accuracy that has to exist within our industry, while we're going down this path of using more and more AI functionality. And it's something that we take very seriously. We are investing in AI capabilities. We're doing it on our own. We're doing it with Microsoft. We're doing it with other partners. But we're very focused on making sure that we have that kind of, I'll say, quality control.
Operator: Your next question comes from the line of Andrew Coombs of Citi.
Andrew Philip Coombs: I just wanted to come back to the point on revenue growth in ASV. You talk about Data & Analytics revenue growth accelerating into next year. At the same time, obviously, ASV has gone backwards and you have the UBS hit come in Q3 before it might be down a bit in Q4. I get all of your points about not to rely on the ASV metric. It's a point in time measure distorted by 1 or 2 cancellations. But given that your revenue growth from Data & Analytics, Risk Intelligence is currently running slightly above the ASV metric year- on-year. Is there a risk there? Is there a risk to revenue growth going into next year? Or is it the case of you are [indiscernible] more usage-based models, therefore, you are confident on revenue still improving next year?
David Adam Schwimmer: So thanks, Andrew. As MAP said, we're in the process of planning our 2026 budget. So I'd love to give you a rock-solid answer and say this is the answer one way or another. We do see all the things that Matt was talking about. We see the pipeline growing well. We see the product functionality rolling out well. We see really good receptivity amongst each of those 3 businesses. So we feel very good about 2026. I don't know, MAP, if there's anything you want to add?
Michel-Alain M. Proch: No. I mean, it's basically -- I mean, basically, our -- is there a risk? There is always a risk, obviously. But I mean our central scenario is an acceleration altogether of our subscription businesses. Now it's not a step change. It is what we told you. You're not going to see a change of like 2% from one quarter to another, but it's a progressive acceleration. And the reason why we believe that our central scenario, and we confident to deliver it, it's because we have in our hands a better product driving a good pricing. We have a sales pipeline, which is increasing. So we have a deal flow coming in. And as you mentioned, Andrew, we had some one-off -- negative one-off during 2025. And again, I don't want to stress too much it. But again, we have a large sales force who have been concentrated on making sure that the largest migration of desktop in history actually went well. And it went well. And it's great. And that's exactly what we were supposed to do. But during the time they were doing this, well, they were not selling something else. So that's basically what I can tell you. I mean, I know it's not a number, Andrew, and apologies for that, but it's -- that's the color I can give you for '26.
Andrew Philip Coombs: That's very helpful color. I guess just one final thing is that you mentioned that ASV doesn't capture the usage-based models and that you're rolling out more of those. Can you give us any indication on what proportion of the revenue base is usage-based now? I know you said in Risk Intelligence, you have a fair bit, but any guidance you can give around that would be helpful just so we can understand the disparity?
David Adam Schwimmer: Yes. As I mentioned earlier to another question, I think it was Ben's question, we haven't put that specific percentage out there. We're seeing more and more of it in Analytics and in Risk Intelligence. But I would say the interest, the curiosity is noted. But at this point, we haven't put that out.
Operator: Your next question is from the line of Ben Bathurst of RBC Capital Markets.
Benjamin Edward Bathurst: My question is on free cash flow. It's on Slide 17. I know this metric has typically been much stronger in the second half than the first. Is it fair to assume that the [indiscernible] changes in working capital will unwind in the second half this year as it has been in previous years? I'm really just helping to get an idea of the bridge from the GBP 935 million in H1 to the GBP 2.4 billion guidance for the full year. And on the same line, are there any one-offs that you'd highlight from the first half that helped really drive that 45% growth perhaps in the noncash or nonoperating lines?
Michel-Alain M. Proch: So thanks, Ben. Two points. The first one is that the seasonality of our free cash flow H1 to H2, it's very normal. It's very normal. We always have a much larger cash flow in H2 than in H1. So that is not a problem at all. Then in terms of change in working cap, same thing. And it's one of the reasons for this seasonality, obviously. You've seen the minus GBP 500 in H1, which is equivalent to the one of last year. And this will reverse during H2, which is the major reason for this seasonality. Then after, you see that we managed to materialize the totality of our operating free cash flow into equity free cash flow. And why? Because we have a good control on our net interest on debt and net tax we are going to pay a bit more cash tax in the second semester because we are running out of nonoperating losses, but it's included into the guidance. And you see the reduction of the capital intensity in H1 will carry on in H2. So no, I feel very confident on delivering the at least GBP 2.4 billion. And actually, well, I'm even more confident than at the beginning of the year.
Benjamin Edward Bathurst: [indiscernible] is that something...
Michel-Alain M. Proch: Sorry, I didn't -- I did not address this. So in this line, we have 2 things. We have the reversal of the IFRS 16 charge, for the shares, the performance shares of the executive And that's -- it's relatively stable from 1 year to another, but with the increase of the price of the share, it's more in '25 than in '24. And the second thing and the reason why it -- you have such an increase is because last year in H1 2024, we had a positive impact of embedded derivative, so that we reversed in cash flow. So it was a big plus, if you want, and then we have the reverse in H1 2025. That's the reason for it.
Operator: Your next question is from the line of Bruce Hamilton of Morgan Stanley.
Bruce Allan Hamilton: Most of my questions have been asked. But maybe just on this sort of AI topic. I mean, clearly, there's been some worry in the market about that as a sort of disruption risks in workflow to the industry as a whole from sort of new fintech AI platform. But it sounds like you see more of a sort of revenue opportunity. So just to check I've understood, it's sort of -- the underlying data is the key combined with a very effective desktop. That's why -- is that what you think is the kind of best offering in the market? And then maybe this is a stretch. But in terms of the scale and timing of potential revenues linked to that sort of AI opportunity, any way to think about that?
David Adam Schwimmer: Yes. Thanks, Bruce. And let me dig in on that a little bit because we have heard some noise about concern, potential fintech competitors, et cetera. And let me just touch on that. So I'm going to start where you started, which is with the data. And the data is the key to this topic. You can have a really cool user interface, but the quality of the product depends on the quality of the data. And we have the broadest, the deepest, the highest quality data sets. The second point I would make is that users don't want just a sophisticated -- I used this phrase before, sophisticated chatbot. They want that great AI functionality, and they want that AI functionality embedded in all of the other workflows. And that can be news curation, charting, order and execution management, analytics, risk systems. We provide all of that in our user interface, in Workspace. And we are building AI into all of that. And so I think that's a really important aspect of this in terms of -- again, you can have, as I said, sort of a cool user interface, but that on its own doesn't get you there in terms of what our industry is looking for and what our industry expects. Users also -- our users also want that workflow and that AI capability to be interoperable with their enterprise workflow, which is what we are doing in terms of integrating with Excel and Teams and the Microsoft Office 365 tools. And then the last point, I touched on this earlier, but the last point, I think you cannot emphasize enough is that users want data that they can trust and they can rely on. And so with respect to some of the new offerings that are out there, and we've seen and we've played with some of the flashy demos and other things. But in one of those in particular, that has gotten a lot of attention, if you go into their own press release, there's -- that press release points to their -- there's a link in that points to what they're relying on and their accuracy in finance is at 51%. And their accuracy in market analysis, they don't define what market analysis is, but I think we do a lot of market analysis. Their accuracy and market analysis is 14%. So I think coming back to your question in terms of some of the fintech offerings, they may be cool and they may be fun to try out, but they cannot meet the demands of this sector, the demands of our customers today. And I think that's really important to keep in mind. And so yes, we have the high-quality data. We have the right workflow in our desktop. We're making both of those better and better. We are embedding AI functionality in our offerings, and we're certainly not sitting still. So I think -- and there's more to come. So as I said before, I like our positioning. We welcome the tech innovation. We welcome the tech change. And I think we're in a very good position to keep driving the change in this industry and driving the change for our customers.
Operator: Your next question comes from the line of Oliver Carruthers of Goldman Sachs.
Oliver Carruthers: Oliver Carruthers, from Goldman Sachs. Just 2 final ones for me. I thought your comments around the requirement of absolute certainty on data quality from your customers to be really interesting, particularly given the risk orientated and regulated nature of financial services. High level and maybe taking kind of your answer to Bruce's question a step further. Do you think this means that data procurement and data delivery can't really be decoupled in the value chain here because your customers want to verify and query the data that they're ingesting? So that's the first one. And the second question, in the Q&A, you've made the point several times that the sales force has been distracted through the Eikon migration. Interested how short versus long term, this comment is? Do you mean since the last quarter? Or do you mean since the migration period in 2021? And if it's the latter, what are the implications now that your sales pipeline is building and we're now through this migration process?
David Adam Schwimmer: Thanks, Oliver. I'll take your first question, and MAP can answer the one on the sales force focus. So I think there is an element of what you said in terms of data procurement and data delivery having to be coupled. And we see this already. In other words, you could say that this has been an issue. People can look up a lot of stuff long before ChatGPT, people could look up a lot of stuff on the Internet. And that doesn't mean that vast amounts of our data business were disintermediated by the Internet. In many ways, large language models that are trained on information off the Internet and can come up with answers to a lot of questions. It's a much more souped up or high-powered version of that. That's not good enough for our industry. So are there products, is there certain functionality where it is good enough and it's okay and kind of an individual is looking up something in the same way that they would do a Google search? Sure, that's fine, and it's helpful, and it actually can be really useful, but that's not what we're talking about for our industry. So I think the notion of data procurement being really focused on what we refer to as data trust, which is a concept that basically means you can validate the data itself, you can validate where it came from. You have the ability to audit it if you need to. We think that notion of data trust is really critical in our industry. I think there's a separate question as to whether the regulators require, which is conceivable down the road given the importance of this issue in our industry. But at this point, it's just something that our customers expect and require when they're going through this process of data acquisition. I'll turn it over to MAP in terms of the second question.
Michel-Alain M. Proch: Yes, sure. I mean, my comment was really relating to Q2 because it was the crux of the shift. I mean we committed ourselves to a Sunset at the end of June. So obviously, we are extremely, extremely focused on this. But I mean, obviously, we did not -- the sales force did not begin to work on this on Q2. It was the case in Q1 and in Q4 last year. But the real, real big push was the last quarter.
Operator: And your next question comes from the line of Ian White of Autonomous Research.
Ian White: Just two from my side, please. Firstly, on Meeting Prep, what progress has been made there, please, over the last few months? Has the development work that you mentioned previously now been complete and that product is ready for broader rollout? Or is there still some iteration going on there? That's question one. And sorry to revisit this topic, but I know a few other questions. But across the 3 data segments, organic constant currency growth, it's about 6% in 1H and consensus has it going above 7% and then on to 8% in 2027. Are you comfortable with the consensus trajectory there? And what needs to happen for that to be delivered? Is that mostly about pricing, client product usage, growth in clients, new products with specific staffing? What are the main building blocks to get us from 6% to 8% over the next couple of years, please?
David Adam Schwimmer: So thanks, Ian. I'll take your first question on Meeting Prep and then MAP can touch on the second one. So Meeting Prep is going through an iteration from basically version 1, which we released, I believe, at the very end of last year coming into this year. And version 2, I would think, should be ready over the next few months. The big change, and I can get into a lot of specifics on what we're changing. The big change is that Meeting Prep version 1 is a Microsoft product. And it is a Microsoft product that includes our data. Meeting Prep version 2 is an LSEG product. And I wouldn't even call it a distinct product. I would call it a feature that is going to be embedded into Workspace and the Workspace Teams app. And so similar concept, similar functionality, but we've taken the feedback from the users on version 1, and we're making it more flexible and addressing a lot of the feedback. So for example, some of these are going to sound incredibly mundane, but that's -- that's what our customers are looking for, and that's what will make it a better product. People want to be able to access it in different areas. They want to be able to access it just -- I think there was one button in one screen where you could access it before. Now it's going to be embedded and easily accessible. People want to be able to take the document and put it into a PDF and send it out or share it with their teams that wasn't available before. So as I said, a different language capability, being able to adjust the dates that it includes news on a particular company or a particular person. All those kinds of things, which you can see how that would make the product more flexible, easier to use, et cetera. Those kinds of things we are building into that. And as I said, it will be a feature -- and I would expect we'll see it over the next few months in the second half.
Michel-Alain M. Proch: On 2026, maybe I give you maybe a more global answer if it's okay because if you -- we committed ourselves medium-term guidance at the Capital Markets Day in November 2023 for '24 to '26. We are well on track on all the guidance being the acceleration of revenue or being the posting 250 basis points of improved EBITDA margin on this period of time. And actually, on the latter, you see that with the performance we had this year plus performance we had last year, we are very well placed to reach this 250 bps. So altogether, I think on a very good path on our trajectory for 2026. And on the top line, I'm not going to comment versus the consensus, but I can reiterate what I told you, which is that we are confident into an acceleration of our subscription business, but a progressive one. No step change, but a progressive acceleration, and we're very confident into our margin progression.
Operator: And there are no further questions on the conference line. I will now hand the presentation back to David Schwimmer, CEO of LSEG, to close the call.
David Adam Schwimmer: Well, thank you all for your time and attention this morning, and we certainly appreciate it. If you have any further questions, you know where Peregrine and the team are. And I'm sure we will be in touch with you soon. Thanks again.
Michel-Alain M. Proch: Thank you.